Company Representatives: Ramey Jackson - Chief Executive Officer Scott Sannes - Chief Financial Officer John Rohlwing - Vice President of Investor Relations & FP&A
Operator: Hello! And welcome to the Janus International, First Quarter 2022 Earnings Conference Call. Currently all participants are in a listen-only mode. A question-and-Answer session will follow the formal presentation. . As a reminder, this conference is being recorded.  I would now like to turn the call over to your host, Mr. John Rohlwing, Vice President of Investor Relations & FP&A. Thank you. You may being Mr. Rohlwing. 
John Rohlwing: Thank you, operator, and thank you all for joining our first quarter 2022 earnings conference call. We hope that you’ve seen our earnings release issued this morning. Please note that we have also posted a presentation in support of this call, which can be found in the Investors section of our website at ww.Janusintl.com. As a reminder, today’s conference call may include forward-looking statements regarding the company’s future plans and prospects. These statements are based on our current expectations, and we undertake no duty to update them. It is important to note that the company’s actually results may different materially from those anticipated. Factors that could cause actually results to different from anticipated results are contained in the company’s latest earning release and periodic filings with the Securities and Exchange Commission, and we encourage you to review those factors carefully.  In addition, we will be discussing or providing certain non-GAAP financial measures today, including adjusted EBITDA, adjusted EBITDA margins, adjusted net income and adjusted EPS. Please see our earnings release and filings for a reconciliation of these non-GAAP measures to their most directly comparable GAAP measure. I’m joined today by our Chief Executive Office, Ramey Jackson who will provide an overview of our business and give an operations update. And our Chief Financial Officer, Scott Sannes, who will continue with the discussion of our financial results and outlook before we open up the call for your questions.  At this point, I will turn the call over to Ramey.
Ramey Jackson: Thank you, John, and good morning everyone. 2022 marks our 20th year in business at Janus and I'm proud to say we're off to a very strong start. Over the 20 years we've experienced a lot at Janus. We've grown to approximately 1,600 employees over 10,000 active customers and have operations around the world. In the past five years alone, we've doubled our business through a balanced mix of organic and inorganic growth and are well positioned to continue to grow attractively in the future.  We have a strong position in self-storage and a leading position with our customers in all of our business segments, which we expanded with last year's DBCI and ACT acquisitions. We had a momentous 2021 that saw us become a public company, complete our largest acquisition to-date, make significant progress in our DBCI synergy plan and meet inflationary pressures on multiple fronts head on. We continue to focus on the relentless execution of our plan to draw both top and bottom line growth and create long term value for our shareholders.  At Janus we’re far more than a steel roll-up door company. We are at heart a value added solutions provider for our customers across the self-storage commercial and industrial building industries. Filling that role for self-storage in adjacent industries helps draw the strong margin profile for the business and contributes to a high level of stickiness we have with our customers. It's an exciting time as the self-storage industry experienced unprecedented growth in 2021 and we continue to see investor demand in capital inflows into the industry.  Each of the self-storage REITs that has reported earnings so far, highlighted how industry fundamentals remain strong and they are positioning themselves for the coming busy season. Collectively, they expect favorable performance trends seen in 2021 to continue in 2022 and that outlook was reflected in their updated guidance.  High occupancy rates continue to drive demand for new capacity additions in the self-storage industry, increasingly from a larger, more investment driven and better capitalized group of owners and self-storage facilities like REITs. In fact, several self-storage focused REITs reported occupancy levels at quarter end in range of 93% to 95%, reflecting strong demand for products, as well as the near term need to add additional capacity in the forms of expansions, conversions, relocatable storage units and unit mix changes. We positioned ourselves to be the leading beneficiary of capacity additions, no matter which form they take as we derive similar margin profiles from either new construction or the repurposing and refurbishing of existing facilities.  We remain keenly focused on several key growth strategies. On the Noke front, we leveraged the acquisition of ACT last year to accelerate growth, resulting in our highest revenue quarter to-date. And in the commercial segment we continue to build out the rolling steel product line at our ASTA business unit, bolstered by the additional opportunities that DBCI acquisition brings to the commercial side of the business.  Also on the Noke front, subsequent to quarter end we announced the launch of Noke Screen; the latest in a line of award-winning smart security products in the Noke Smart Entry product line. Noke Screen posts a number of exciting design features, like a customizable full graphic display screen, WiFi and Bluetooth connectivity and all in one design that combines the controller and the keypad in a single device. This controller and keypad design improves functionality and reduces cost of upgrading access controlled systems by eliminating one of the most expensive and most commonly replaced pieces of the access control puzzle, the controller. The design of Noke Screen also significantly mitigates vulnerability to lightning strikes and other electrical surges that are prevalent in the access control market today.  Now shifting to the financial highlights for the quarter, we deliver consolidated revenues of $229.5 million, an increase of 50.2% as compared to the same period last year or 35.7% on an organic basis. This growth reflected the strength in all three of our sales channels. On the new construction side we saw strong demand and our second – and other construction delays during 2021 was converted to revenue. We benefited from the contributions from DBCI and the ACT acquisitions that closed during the third quarter of last year.  Our adjusted EBITDA of $44.7 million came in at 37% higher than Q1 of ’21, driven primarily by higher revenues, was partially offset by higher cost of sales and general and administrative expenses, reflecting the growth and inflation we were experiencing. However, as a result of our volume growth, commercial actions and productivity initiatives, our adjusted EBITDA margins increased by more than 100 basis points over the fourth quarter of 2021.  We continue to see challenges in certain areas of our business, including raw material and labor availability and inflation, as well as logistical challenges. Last year we took actions to offset these inflationary effects through both commercial and productivity initiatives. And over the 100 basis points sequential improvement in adjusted EBITDA, margin reflects the benefits of those actions.  Many of those challenges are ongoing, with the continued volatility in steel prices, continued inflationary pressures and labor availability. As a result, and supported by our continued strong market fundamentals and demand for our products, we're taking additional commercial and productivity actions to ensure recovery of these costs in 2022.  Each company also continues to generate impressive cash flow, which Scott will discuss in further detail shortly. In the first quarter, our free cash flow conversion was 109% of adjusted net income. We expect cash conversion to remain solid over time, putting us in a strong position to further reduce leverage towards our goal of 2.5x to 3.5x adjusted EBITDA, while being opportunistic as M&A situations present themselves.  We are pleased that we're able to build on the momentum we had coming out of a very exciting 2021 with another quarter of outstanding growth, even in the face of continued global inflationary and geopolitical pressures. As our end markets accelerate to meet increased demand for capacity, we look to leverage our strong market position to capture additional share and create long term value for all of our stakeholders.  With that, I'll turn the call over to Scott for an overview of the financials and outlook for the full year. 
Scott Sannes : Thanks, Ramey, and good morning everyone. In the first quarter revenue of $229.5 million was up 50.2% compared to the prior year quarter and 35.7% on an organic basis, driven primarily by solid execution in all three of our sales channels. R3 was up 56.6%, commercial and other was up 51.1%, while new construction was up 44.3% versus the prior year quarter.  R3 growth continues to be bolstered by new capacity additions in the form of conversions and expansions, an ongoing factor contributing to the exceptional growth rate in the commercial sales channel for the quarter is our lead times. Even with the industry's ongoing supply constraints, our lead times continue to be better than many of our competitors, resulting in superior execution for our customers.  As Ramey previously mentioned, we continue to see growth in the new construction sales channel as we worked through the pent-up demand caused by permitting and other construction delays during 2021. The consolidated revenue growth reflected improved demand across all of our end markets, along with contributions from the DBCI and ACT acquisitions which occurred in the third quarter of 2021.  We reported results in two business segments, Janus North America and Janus International. Janus North America contributed 92.2% of revenue for the quarter, Janus International which sells primarily in Europe and Australia provided the balance of revenues.  Adjusted EBITDA of $44.7 million was up 37% compared to the year ago quarter. Higher revenue was the primary driver of EBITDA growth, partially offset by higher cost of sales and general and administrative expenses. As Ramey mentioned previously, we continue to experience higher raw material, labor and logistics costs as compared to the prior year period. Janus continues to take actions to offset the inflationary effects through commercial and productivity initiatives. In addition, we experienced incremental costs related to being a public company and continued growth related investments.  Adjusted EBITDA margin for the quarter was 19.5%, a decrease of approximately 175 basis points from the year ago quarter, but an improvement of more than 100 basis points from the fourth quarter. On our fourth quarter call we talked about how we expected margins to bottom out in the fourth quarter of last year and improve as commercial and productivity actions take hold. We started the year with approximately 15% of our backlog, representing legacy price contracts and we finished the quarter at approximately 10%. Also, we are pleased with the progress we are making in achieving the DBCI synergies.  We are happy to report as previously communicated that we've eliminated the need to report out on management adjusted EBITDA for 2022 and beyond. For the first quarter 2022, we produced adjusted net income of $20.1 million up 22.8% from first quarter ‘21 and adjusted diluted earnings per share up $0.14. Adjusted net income was favorably impacted by the revenue increase during the quarter, despite an increase in the effective tax rate as a result of the company now being taxed as a C-Corporation.  Adjusted diluted earnings per share were negatively impacted by a new capital structure in Q1, 2022 versus Q1, 2021, in which the outstanding share count was significantly higher in 2022. At quarter end our outstanding share balance was approximately 146.6 million shares.  As Ramey mentioned earlier, we had another strong quarter of cash flow generation. First quarter cash from operating activities was approximately $25 million and free cash flow was approximately $22 million, representing 109% free cash flow conversion, continuing our multi-year trend of strong conversion of adjusted net income to cash. We expect to continue to generate strong cash flows going forward, putting us in a solid position to lower leverage over time, while being opportunistic with regard to M&A.  From a balance sheet perspective, we closed the quarter with $720.4 million of total debt, $26.6 million of cash and equivalents, and a net leverage of 4.3x net debt to adjusted trailing 12 month EBITDA, down from 4.4x at year-end 2021.  Turning to guidance. I am pleased to announce that based on our solid start to the year, continued strong backlog and our current visibility of end markets, we are raising our full year 2022 outlook for revenue and adjusted EBITDA. Revenue is now expected to be in the range of $890 million to $910 million, up from a range of $845 million to $865 million previously. At the midpoint this represents a 20% increase compared to full year 2021 results, driven primarily by a combination of price and volume related organic growth and the addition of DBCI and ACT. Of the 20% growth approximately 60% is organic and 40% inorganic.  We now expect adjusted EBITDA to be in the range of $193 million to $200 million, up from the previous range of $183 million to $190 million. At the midpoint this represents a 32.6% increase versus the full year 2021 results.  From a revenue perspective our upwardly revised outlook reflects our strong first quarter results, including the execution of the majority of pent-up demand in the new construction sales channel to start the year. We expect growth in the balance of the year to reflect a strong underlying fundamental we see across all three sales channels.  We expect adjusted EBITDA margins in the second quarter to be similar to the first quarter results. As previously communicated, we expect adjusted EBITDA margins in the second half to be higher than margins in the first half, resulting in a solid year of margin improvement in our business.  Thank you. I will now turn the call back to Ramey for closing remarks.
Ramey Jackson: Great! Thank you again Scott. Returning to the 20 year anniversary, we've worked hard to stay ahead of the ever changing self-storage commercial and industrial building solution industries needs through constant innovation, attention to quality and unmatched service. We are appreciative of and owe thanks to our employees customers and vendors who have helped us in our success. We're excited about what the next 20 years will bring and where we can take this company.  We're proud of how Janice came out of the gate in 2022. Our business delivered another quarter of outstanding growth and solid adjusted EBITDA margin contribution, even as we were addressing cost pressures seen across the industry. I expect our results to be the foundation for a powerful 2022 as we look to deliver strong margin performance and earnings growth over the long term.  Thank you again for joining us. Operator, we can now open the lines up for Q&A please. 
Operator: Thank you.  Our first question comes from the line of Jeff Hammond with KeyBanc Capital Markets. Please proceed with your question.
Jeff Hammond: Hey! Good morning, guys!
A - Ramey Jackson: Good morning Jeff!
Jeff Hammond: So just on the margins, it sounds like 2Q is going to be similar to 1Q, which to kind of get to your full year guidance suggests you know 24% EBITDA margin in the back half and I'm just trying to you know kind of bridge. You know is it sequentially better 3Q and then even better in 4Q or you know kind of how do we get from you know this kind of mid-19’s to the 24 you need in the back half?
A - Scott Sannes: Yeah, good question Jeff. So you know your assumption is correct. Q2 margin profile is similar to Q1 and then obviously to get to the mid-point of guidance of the 21-8, we do believe that the Q3 will be obviously sequentially better than Q1 and Q2, with Q4 being slightly or sequentially better than Q3.  How we get there? You know legacy priced contracts as we've talked about should really flush out through the first half of the year, and then just continued productivity measures, full impact of commercial actions, etc. should all help benefit, as well as continued DBCI synergies should all help get that sequential margin improvement in the second half of the year. 
Jeff Hammond: Okay, helpful. And then I think seasonally 1Q tends to be one of your lower quarters, maybe 4Q, 1Q. Just trying to understand kind of how you think the business builds seasonally into 2Q and maybe within that if you can just talk about price in the quarter and price expectation for the year. 
A - Scott Sannes: Yeah. Sure, I'll take the second question first. So in terms of kind of price volume metrics for the first quarter, it was about two-thirds price, one-third volume in terms of the organic growth, and then for guidance for the year, it's basically the reciprocal of that, so it's going to be about two-thirds volume, one-third price is how we've guided.  And then in terms of the seasonality question, as we've kind of previously mentioned, you know revenue for Q1 came in about $230 million. There was a relatively significant, I'll call it pull-through of the pent up new construction demand that occurred in Q1. You know we estimate that to be somewhere between probably $10 million to $15 million. So as far as the cadence of what the revenue looks like the rest of the year, if you kind of pull that out of Q1, you're at like 215, 220 and then we built in, you know from our guidance we built in some continual increases in terms of revenue run rate for the – you know for the back half of the year or the remaining nine months of the year I should say. 
Jeff Hammond: So 2Q is kind of flattish with 1Q?
A - Scott Sannes: I think that – I think it should be – again, I think generally speaking yes. I think we have a slight increase I believe in Q2 over Q1, but relatively speaking similar profile with then continued ramp up as you get to the second half of the year. 
Jeff Hammond: Okay, thanks so much. 
A - Scott Sannes: Sure. Thanks Jeff. 
Operator: Our next question comes from the line of Reuben Garner with The Benchmark Company. Please proceed with your question.
Reuben Garner: Thank you. Good morning everybody and congrats on the strong results. 
Ramey Jackson: Thanks Reuben. 
Scott Sannes: Thanks Reuben.
Reuben Garner: So I think historically folks look at the self-storage industry as being highly correlated with housing turnover and there's some concern that the rise in mortgage rates may reduce that metric. Can you just talk about your thoughts on that correlation and what might be different this time and then maybe any conversations you've had with the actual storage operators about what they are kind of seeing here recently. 
A - Ramey Jackson: Yeah. Good morning Ruben! This is Ramey. Look, I think our view is different. I think you've heard us say many times that self-storage is an event based business, so good economic, bad economic times, self-storage thrives. And I think if you look at some of the REITs and what they are forecasting for the year, I think it's fundamentally robust. I think when you look at just kind of the end market from a capacity perspective, you know the industry sold out, and so I see that as major tailwinds for the business going forward. So again, I’ll kind of conclude that we do not view kind of housing as a driver, as a main driver for self-storage whatsoever. I’ll pause there.
Reuben Garner: Okay. No, that's helpful. And then on the margin side, wondering how you guys think about kind of getting back to or getting to your longer term margin goals with your input costs elevated like they are. Do you think there will be more pricing actions to come to help you get there or is it going to be volume driven? I guess if you could just give us an update on the long term margin thoughts and maybe the components to get there.
A - Ramey Jackson: I’ll kind of start. Yeah look, I think once we continue to accelerate the integration with the acquisitions, I think you'll see a margin pick up there. The volumes are tremendous. Our backlog and pipeline are at an all-time high and then the commercial actions that we took last year are taking effect and as I mentioned on the call earlier that we’ll continue to address those kind of inflationary pressures with cost containment productivity and then commercial actions on the price side as well. So our view is that we’ll certainly get back to those levels and we're working really hard to get there. 
Reuben Garner: If I can just clarify, so post the inflation we've seen and post the acquisitions that you've made, are you guys kind of maintaining that you still think you can get to, I think it was 26%, 27% EBITDA margins over the mid-term. Is that the right target or bogey to look at?
A - Ramey Jackson: Yeah, I think the – you know depending on what your definition of mid-term is, I think the way that we would respond is the second half of the year we think will get you know the margin profile as Jeff mentioned earlier. Kind of the 24% -- you know 24%, 25%. So kind of you know mid 25% margin profile. But then obviously over time our goal is to continue to enhance the margin profile into ‘23 and beyond. 
Reuben Garner: Great! Thanks guys.
A - Ramey Jackson: Thanks Reuben.
Operator: Our next question comes from the line of a John Lovallo with UBS. Please proceed with your question. 
John Lovallo : Good morning guys and thank you for taking my questions as well. The first one, you know kind of dovetailing off of what Reuben asked I think. You know if things do slow from an economic standpoint, I mean should we expect R3 to hold up better than the new construction component of your business and you know how would you think about higher interest rates on both R3 and new construction?
A - Ramey Jackson: Look, I think that's a great question. But I think when you look at over the past few years with the kind of uptake within kind of institutional investment, I think you know the dynamics are different, right. I think the cost of capital still remains low at that level with the institutional investors. These facilities as you're aware generate a lot of cash, and I think there's a tremendous need for the R3 service to continue. So I’ll look at it as more of a balance.  I think that there's pent-up demand on the new construction side and there's a meaningful amount of kind of R3 opportunities to you know as it relates to consolidation and just aging of facility. So I’ll look at kind of the fundamentals to remain strong as it relates to interest rates. 
John Lovallo : Okay, that's helpful. And then in terms of the international business, you know has there been or do you anticipate any impact from the Russia-Ukraine or the shutdowns in China. 
Ramey Jackson: Yeah, I think you know that certainly the war has its impacts more around availability of steel, but you know as you probably know, there's a tremendous kind of pent up demand from a new construction perspective as a result of the pandemic. Obviously those countries behaved a little differently than we did here in the states, so there's a longer lag.  So we look at that as kind of meaningful tailwinds if you will from a new construction perspective, but we're certainly keeping an eye on you know still availability and all those things associated with the impact of the war. 
John Lovallo : Great! Thank you. 
A - Ramey Jackson: Thanks John. 
Operator:  Our next question comes from the line of Josh Pokrzywinski with Morgan Stanley. Please proceed with your question.
Josh Pokrzywinski: Hi! Good morning guys!
A - Ramey Jackson: Good morning, Josh!
Josh Pokrzywinski: Easy to prep when you did the pregnant pause before the name pronunciation, I can take myself off mute then. So, well just sticking in on the R3 side, wondering what you guys are seeing on the conversion front, you know how that is kind of progressing and any kind of visibility you have there? 
A - Ramey Jackson: Yeah, great question. Nothing's changed there Josh. You know conversions continue to be a leading way of adding capacity. I think when you look at the kind of e-commerce effective retail, kind of big box retail availability that’s still meaningful, and it's quicker to get to market from a construction or a capacity perspective, and then I mentioned on our backlog you know being at an all-time high, you know from a percentage standpoint that conversion component remains you know equal for the past few quarters so to speak. So still very bullish on the conversions. 
Josh Pokrzywinski: Got it! That's helpful. And then that sequential margin dynamic from 4Q, I guess on the adjusted side it looks like margins are flat and actually see gross profit margins down a little bit. Any color on the gross margin kind of 4Q to 1Q progression and then anything we should keep in the mind over the balance of the year? 
A - Scott Sannes: Yes, so in terms of gross margins, I believe both had sequential margin improvement, Q4’s gross margins versus Q1’s gross margins. They were – it looks like they were just under 100 basis point improvement in gross margins, so I think generally we're pleased with the progress being made on the margins despite all of the inflationary pressures, and as we've talked. You know we feel that the margin profile for Q2 will be relatively consistent with Q1, largely due to the preponderance of the remaining legacy price contracts should be flowing through in Q2, and then you know that's kind of the jump off point if you will to head to the second half and start experiencing some significant or meaningful sequential margin improvement in the back half of the year. 
Josh Pokrzywinski: Alright, thanks a lot.
A - Ramey Jackson: Thanks Josh!
Scott Sannes: Thanks Josh!
Operator: There are no further questions in the queue. I’d like to hand the call back to management for closing remarks.
Ramey Jackson: Yeah, thank you. Yeah, thank you everyone for joining us today. We appreciate your support of Janus International and look forward to updating you on our progress. Have a good day!
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day!